Operator: Good morning, everyone and thank you for joining us for today's Old Second Bancorp, Inc's First Quarter 2020 Earnings Conference Call. On the call today is Jim Eccher, the company's CEO; Gary Collins, the Vice Chairman of our Board; and the company's CFO, Brad Adams. I will start with a reminder that Old Second's comments today may contain forward-looking statements about the company's business, strategies and prospects, which are based on management's existing expectations in the current economic environment. These statements are not a guarantee of future performance and results may differ materially from those projected.  Management would ask you to refer to the company's SEC filings for a full discussion of the company's risk factors. On today's call, we will also be discussing certain non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterparts in our earnings release which is available on our website at oldsecond.com under the Investor Relations tab. I will now turn the call over to Mr. Jim Eccher. Sir, the floor is yours.
Jim Eccher: Thank you. Good morning and thank you all for joining us today. I have several prepared  opening remarks and will give you my overview of the quarter and then turn it over to Brad for additional details. I will then conclude with some summary comments and thoughts about the future, before we open it up for some Q&A. Net income was $275,000 or $0.01 per diluted share in the first quarter. Earnings this quarter were negatively impacted by a sizable provision for credit losses of $8 million associated with changes in economic assumptions, primarily driven by COVID-19. We also recognized $635,000 and accelerated interest expenses due to the redemption of TruPS and $2.1 million in mark-to-market losses on the value of mortgage servicing rates associated with the movement of interest rates during the quarter. The core net interest margin showed strength during the quarter due to reductions in deposit rates and the muted contraction of LIBOR relative to other rates. Brad will provide additional color on the margin in a moment. Absent these items, overall fundamentals and earnings trends were relatively stable and consistent with last quarter, though we did see mortgage banking results rebound from a seasonal slowdown in the prior quarter. Old Second has taken a number of steps to protect our employees, customers and communities. For our customers, our locations remain open and available, albeit with necessary safety precautions. We are continuing to work with those that have been directly impacted and we are offering the ability to defer payments as appropriate. The vast majority of our staff has been working remotely for well over a month without issue. Old Second is proud to serve our communities and I couldn't be more proud of the efforts of our employees in supporting our customers in each other and what has proven to be a very difficult time. We are fortunate that our core lending strengths have steered us clear of many of the most impacted industries. We currently have zero direct energy or aircraft exposures in our loan portfolio. Hotel lending is limited to three matured credits at low loan to values totaling approximately $14 million. Direct restaurant exposure is less than $20 million across both commercial real estate and C&I portfolios, and a significant percentage of those is focused in major fast food franchises. We realize the potential exists for these industries to be significantly impacted in the short term, but we also believe few sectors will be spared difficulty in the immediate near term from the implications of rising unemployment and falling consumer and commercial demand. Our base economic forecast at March 31st contemplated a significant decrease in GDP and an unemployment rate in the high-single to low-double-digit percent, both in 2020 and over the life of loan portfolios. In only a two-week time period, we went to a zero Fed funds rate and inevitable near term recession in a low to flat yield curve that gives all commercial bankers nightmares. Industrywide stress tests are one of the real positives that came out of the last financial crisis. And I think we've done a real good job with our stress testing. However, I doubt any bank is to imagined, let alone model these circumstances. I don't recall ever seeing any consultant proposed modeling 50% drop off in revenues in certain industries in less than a month. This is new territory. We will have some losses at some point, but we do believe our portfolio is well diversified and will hold up much better than most. Importantly, we believe our capital and liquidity position are strong as they ever been. In regards to the first quarter specifically, total loans increased $26.4 million from last quarter with a strong level of originations mitigated by continuing payoff activity. We did not see a significant line of credit drawdown at Old Second in the first quarter. Thus far in April, line drawdowns have continued to remain muted. In a very short period of time, we saw a fairly robust loan pipeline mostly disappear. Concurrent with this, we quickly froze any lending activity that featured cash out refinancing. The above phase and economic outlook means that the loan growth expectations that we shared with you a few months ago are no longer relevant. I do not expect to see significant loan growth for the remainder of 2020. Total deposits bounced back nicely on both the period and in average basis and growth has remained strong thus far in April as well, despite the reduction in rates. The loan to deposit ratio for the first quarter of 2020 has modestly improved at 89%. I believe we can remain at this level for the near term with modest loan growth funded by a mix of deposit growth and modest balance sheet optimization. Thus far through April 21st, we have deferrals on our loan portfolio for 130 loans totaling approximately $40 million in principal or 1.8% of commitments outstanding. The largest contributors to these requests event churches, child care services and residential mortgages, which together make up approximately half of the requests. In terms of the paycheck protection plan, Old Second has approved and funded approximately $80 million in April. We have another $43 million waiting processing and believe some additional requests will continue to come in. We are committed to doing what we can to help our customers on this front. We will attempt to isolate and report on the impact participating in this program has on our financial statements for investors. Overall, we remain cautious, but surprisingly encouraged about our results in a number of areas. And I'll turn it over to Brad who can give you more color in his prepared comments.
Brad Adams: Thank you, Jim. Net interest income declined by $531,000 relative to last quarter, due to an acceleration of $635,000 of interest costs associated with the termination of $32 million of trust preferred securities. Absent this item, spread income has held up very well and should continue to benefit from interest savings on this retirement going forward. Approximately $20 million of the pay-off was financed into a three-year term note at LIBOR plus 1.75%, a substantial savings relative to the 7.8% cost of the TruPS. The income trends were soft relative to last quarter, with the exception of mortgage banking sale gains, servicing rights experienced a sizable write down based on declines in interest rates during the quarter as well. The reported taxable equivalent margin decreased by 9 basis points from last quarter with the majority of the contraction due to the one-time accelerated amortization of TruP issuance costs. We reduced deposit pricing across the Board in late March based on Federal Reserve rate movements. A full quarter impact of these actions should be evident in the second quarter results with reductions beyond that more modest in effect as time deposits mature and reprice. The adoption of CECL resulted in $8 million increase in the allowance for credit losses for both funded loans and unfunded commitments. This is at the high end digit and $6 million exclusive of unfunded commitments. This is at the high end of the range previously provided and resulted in an adjustment to equity net of purchase accounting implications and deferred tax adjustments of $3.7 million on January 1. The change in economic outlook resulted in an additional $8 million for credit losses in the first quarter. This economic outlook for us is characterized by a near double-digit unemployment rate and a 15% to 20% under-employment rate. Notably, it reflects a high-single-digit unemployment rate over the remaining life of the loans, a substantial change. As Jim mentioned, Old Second has minimal exposure to the hardest hit industries, and a very strong credit culture overall. This quarter's provisions result in reserves in excess of 2.5% on the consumer-lending book, which features no subprime exposure at origination. Reserves across the commercial book has been increased by 25% relative to January 1st and by 46% relative to December 31. Our efforts in the coming quarters will be on helping customers, funding quality loan growth as we find it and maximizing core funding with the expectation of further modest contraction in margin trends beginning after the second quarter of 2020. The degree of contraction in the margin will be completely dependent upon LIBOR trends. I do not currently expect that the current level of spread between overnight swap rates and short term LIBOR rates is sustainable.  The longer the spread remains elevated, the better our margin trends will remain and vice versa. Capital and liquidity levels leave us extremely well positioned and we have ample flexibility continue the pursuit of quality relationships while protecting the franchise and our customers. On the fee income side, mortgage banking reflected a significant increase in gain on sale on margins and volumes during the quarter, although the MSR valuations for the first quarter compared to the fourth quarter was ugly. Trust and wealth management softened a bit and retail banking trends slowed modestly in both fees and card activity. Notably card activity continues to be even softer in April. Expenses remain well controlled with additional sales hires in 2019, are anticipated to be largely offset by seasonal factors in the remainder of the year, and some likely modest expense initiatives in the remainder of the year as the depth of the economic strain becomes clear. With that, I'll turn the call back over to Jim.
Jim Eccher: Thanks, Brad. In closing, we remain encouraged with these trends, confident in our balance sheet and then ready for the challenges ahead. Not a core basis, Old Second is operating at a very high level and we are excited about the quality of talent added to the organization. We have taken steps to position ourselves well for a potential slowdown and recession. We believe our credit and underwriting has remained disciplined and our funding and capital position is strong.  Overall, the team has never been better. And at some point, I remain optimistic that opportunities will be available to improve our footprint. The focus for us is on timing and making sure that we have the balance sheet liquidity and access to the capital we need in order to take advantage. That concludes our prepared comments this morning. So I will turn it over to Jess to open it up for questions.
Operator: Thank you. [Operator Instructions] We'll go first to Chris McGratty at KBW.
Chris McGratty: Let me start with a question on the margin. I just want to make sure I understand kind of the numbers. If you add back the charge that runs through the margins from the preferred or the TruPS redemption, it looks like margins were kind of in the high mid-to-high 3.80s [Indiscernible]. If I take your prior comments that each cut was, roughly were 3 to 5 and effectively we got 6 [Indiscernible] last quarter. That would suggest somewhere in the realm of 25 basis points to 30 basis points of pressure, assuming the LIBOR dynamic flushed itself out. Is that the right way to think about margins kind of trending toward the 3.60% [Indiscernible] range, more or less over the next several quarters, if that relationship holds?
Brad Adams: I agree with that completely, Chris.
Chris McGratty: Okay, so 3.60%. Could you speak to, I guess, couple of items on the margin, was there a notable accretion in the quarter that we should draw out?
Brad Adams: The accretion is -- the accretion volatility that we saw is, it was largely due to credit outcomes, which has now been removed under CECL. It is much more predictable and you get into a discussion of what is excess accretion versus what is normal accretion? I define excess accretion as the amount that's accretable over a number of actual coupon of the asset. The excess accretion for this quarter was less than $200,000. So largely going forward, I expect it to be remarkably stable and don't expect to be talking about it much.
Chris McGratty: Okay. I mean, kind of a question for you, Jim. The -- given the revenue backdrop that we're all facing, could you speak to investments that you may or may not be making and kind of the pace of expense growth from here? I think, first quarter is a little bit higher, understandably, it was little seasonal. Thanks.
Jim Eccher: Well, as far as our biggest investments last year was obviously in new talent. We've -- we brought on half a dozen new lenders in the fourth quarter, which we're very pleased about. Absent that, we're not projecting anything in the near term. We've got potentially couple of the capital projects will probably suspend the remainder. But we do not see any sizable investments outside of some software upgrades.
Chris McGratty: Okay. And so if I take the roughly $21 million that you had this quarter, my guess, Brad, is that, that number comes down from seasonal and just kind of holds from there. Is that a fair assumption?
Brad Adams: I expect it will trend toward a $20 million level before we move $20 million quarterly level before we move to any expense cut initiatives.
Chris McGratty: Got it. Okay. That's all I had. Thanks.
Jim Eccher: Thanks, Chris.
Operator: We'll go next to Nathan Race of Piper Sandler.
Nathan Race: Hi, guys, good morning. Thanks for taking the questions. Maybe just first, curious to kind of hear what you guys are seeing from clients in terms of loan deferral requests and just what are your outreach efforts with your customer base on the commercial side of things, that has resulted in terms of how you guys are perhaps stressing the loan book, just with everything going on today?
Jim Eccher: Yes. Maybe surprisingly we've thus far, had about 1.8% of the loan book that have made request for abatements or interest only. We certainly expect that to accelerate as long as the shutdown last, but we continue to stress test the portfolio on a quarterly basis. So, a lot of it, and we feel pretty good about the loan book overall. One of the sectors, we were very worried about was our church exposure which is about 2.5% of the loan book surprisingly that sector has been very resilient. We're hearing they're doing a lot of services on social media and tithing continue. So that's kind of surprised us. Absent that, we have no direct exposure to some of these hard hit areas. Obviously, the indirect exposure is what we're focused on today, particularly retail and we're diving deep into that portfolio now. But so far, we feel -- we feel pretty darn good about it.
Nathan Race: It's great to hear. I appreciate that commentary, Jim. And then just going back to the margin, Brad, I think you allude to the fact that you guys cut deposit rates at some point in the first quarter. I'm just curious if that occurred more so late in the quarter and then we should expect kind of a more perhaps relatively pronounced drop in deposit costs into 2Q, obviously you guys had a pretty low beta over the course of the Fed hikes and several cycle [Indiscernible] measures a ton there. but just curious in terms of what do you expect from the magnitude of deposit cost cuts in the second quarter.
Jim Eccher: I think the cost of our non-time deposits will trend toward 10 basis points relatively quickly. And as promos wear off over the remainder of the year, namely 151% promo money market that we are offering for a period of time, as that matures they should trend toward 6 basis points. Time deposits over the next two years, probably more like 12 months will trend toward 50 basis points. Our all-in cost of deposit funding will be very, very low. I think everyone understands that we are in a zero rate environment. I think safety and soundness matters. I think that the quality of a deposit franchise, despite low rates will still matter, especially in times of stress. Wouldn't trade our position on the liability side for anyone, and the same is true on the asset side.
Nathan Race: Understood. That's helpful, and then just lastly on wealth management and trust fees. I appreciate that there was obviously some headwinds there, but I guess I'm just curious, if the 1Q run rate is largely reflective of the equity market valuation pressures that we have seen recently or if you guys are expecting another step down in that line item entering 2Q?
Jim Eccher: No, I think, given the fact how far markets have bounced back, the percentage of the market-sensitive revenues, I don't expect a lot of pressure from that level.
Nathan Race: Okay, great. I appreciate you guys for taking the questions.
Operator: [Operator Instructions] We will go next to David Long at Raymond James.
David Long: Jumping around here little bit quick at the fees on your -- your payroll protection program loans, most things have been talking about running your -- vicinity of 3%, where do you guys stand on that on the loans that you guys have gotten approval for?
Jim Eccher: Yes. It's -- we've, we're taken risks as they come in and they're far ranging right, but I think 2.5%, 3% is probably the right way to think about that.
David Long: Okay, got it. And then you guys were pretty opportunistic to hold off on buying back stock, and then this quarter, you did move forward with the stock repurchase and guided a pretty good discount here. What are your plans for share purchases here in the near term, and then again looking out over the longer term as well.
Jim Eccher: I actually don't know. I think that, so we executed at a weighted average price of a little over $7 in the first quarter specifically, the last part of March. It's difficult. Right. I am extremely comfortable with our capital position. I am extremely comfortable with what our credit quality looks like. I'm extremely comfortable with our reserve levels based on the economic scenario that we see right now. That being said. There are 26 million jobless claims which implies an unemployment rate somewhere just south of 20%. That has profound implications. I also know that the safety and the soundness of the bank is in my opinion, very strong and a component of that and the perception of that which I believe has been out of line has been the valuation of the stock relative to others even. So it's difficult for me to rule out that we wouldn't be there to repurchase the stock, given what we see, relative to what the perception is. That being said, our first priority is the safety and soundness of the bank and the safety and soundness of our customers and serving them. So I can't tell you that our thoughts are fully formed on that front.
David Long: Got it. No, I appreciate your thought process on that, and it makes sense, makes a great sense. So, on the reserve building side, any guidance and what, how you're thinking about that as we get to June, what -- and what scenario come June 30th, would it cause another reserve build similar to what we saw here in the March quarter?
Jim Eccher: I think the most significant part of our reserve build is the under-employment factor. Everybody  is coming in at an assumption of a double-digit or near double-digit anyway unemployment rate. And I think that they are assuming based on some surprisingly low reserve levels that I've seen elsewhere that it is a short duration phenomenon. I don't believe that to be the case. I think that when you talk about the level of revenue stoppages for large loss in the economy, you talk about something that has persistence, and so we have assumed persistently low under-employment for a long period of time, specifically, the entire life of the loan portfolio. I can tell you that doesn't mean more reserves in the second quarter, as I sit here today, it doesn't. But if we continue to see $5 million and $6 million and if we continue to see white collar jobless claims following what has been largely a service sector phenomenon at this point, which I believe will happen. Then there could be modest further additions to the reserve. I think that anybody that tells you that things are going to be better in September has been looking at the same data that I am in terms of the overall economy. And we have seen very little change in delinquency, we have seen very little change in terms of line of credit, drawdowns. We have seen relatively extremely light modification requests up to at this point relative to others. But I am under no delusion that that will continue if people continue to lose their jobs.
David Long: Got it. Thanks. Appreciate it.
Operator: We'll go next to Brian Martin at Janney Montgomery.
Brian Martin: Hey, Brad, if you went to greater unemployment percentage from that 8% to 10%, maybe what you've got now. How much of a reserve build would that necessitate if you went to a 15% level in the short term. And then maybe moving back down at least if you're saying kind of data suggesting 20%, I guess if you go higher earlier and then have a tail off, how much could that necessitate based on the model as you guys looked out of the -- to the reserve?
Brad Adams: Quite frankly, not that much, because what we've assumed is, that the unemployment rate is persistent. I'm not sure that others would do, are doing that. The -- a short-term spike and is a high teens or low-20s that isn't persistent wouldn't have a great deal of impact on reserve levels. That being said I -- I don't believe that a 20% unemployment rate is remotely possible over a sustained period of time -- sustained period of time being three years. The American economy is simply stronger than that. But I do believe that a 15% to 20% underemployment rate over the life of the loan portfolio is an extremely a bearish assumption for which we have already taken.
Brian Martin: All right. Okay. That's helpful. And just you guys outlined the limited risk to these sectors that are kind of more highly to be impacted by COVID, but the -- if you look at the portfolio today, where do you guys view the greatest risk in the portfolio.
Jim Eccher: Well, Brian, I mean, as you know our portfolio looks vastly different than it did during the last recession, we've spent the better part of the last decade diversifying the loan book and we feel pretty darn good about it. That being said, there is always risk in construction lending, going back to the last recession, over 20% of our book, today it's 5% roughly. A lot of that's commercial construction, it's still ongoing. And we've got pretty good sponsors behind it. Absent that, anything with the retail -- anything with the retail focus right now poses risk, the longer this shutdown happens, right. So that's where our main focus is.
Brian Martin: Okay. And the retail, I guess exposure, Jim, maybe just, how big is that and just do you guys have kind of -- have you disclosed kind of some any loan to values or debt service coverage levels that you can share? Or is that...
Jim Eccher: Yes, I mean, I can tell you, Brian, before COVID hit, we did a complete review of the retail portfolio. And there were no real issues there. Tenancy was strong, good sponsorship, LTVs were in line, obviously now all bets are off, that sector bears watching and we're starting to see some loan deferment request come in, but the reality is over the next 90 to 180 days, we're prepared to do abatements and deferrals during this tough time. So we still -- we still feel pretty good about the sponsorship behind it and the quality of the tenants, but -- the retail sector will not be immune to this as long as this goes on.
Brian Martin: Okay.
Brad Adams: If you look at the graphs in the release that were provided I don't think we omitted is the actual balances there that make up those pie charts. The first one represents a balance of $850 million and the second, which is the investor commercial real estate, makes up a balance of $514 million. Now, I would tell you that this looks very different from a number of banks in our market. That level of concentration in real estate and owner occupied properties is something that's very unique in the Chicago MSA. I don't know another bank that looks like us from that standpoint. When you talk about -- if you look at the first graph that indicates a 10% retail trade position relative to an $850 million number. A substantial portion of that has been in essential industries, namely gas stations. There are, when you look at the accommodation and food service number of 2%, a substantial portion of that is grocery stores. So we have -- I wouldn't get caught up in terms of something labeled retail in these pie charts and be assuming that that's a high area, because it's simply not. The overall portfolio will be very resilient in my estimation that based on the information I have today for at least the next 180 days. My concern is largely off a broader pull-through and a wider swath of the economy, which is what CECL has meant to do, which is why our economic forecast change. I want to be quite clear on the fact that our reserving is not based on anything that we've seen in terms of trends and delinquencies or communications with customers. It is strictly a byproduct of the economic numbers that are evident in financial releases up to this point.
Brian Martin: Yes. Got you. No, that's helpful, Brad. And maybe just the last one for me, just understand that the PPP program, Brad, just as far as the benefit as it worked through the income statement. Is that a margin -- a margin event, and just I guess if you kind of quantify quantified, I mean, I guess, if it plays out the way you're anticipating in your, whatever, if I think you said $75 million or so was the number. And if you use a 2.5%, 3% level, it's about $2 million. That benefit that you realize, can you kind of give a timeline of how you're thinking about that manifesting itself into the income statement?
Brad Adams: It's $80 million in terms of what's been funded so far. Based on the expansion of the program, we've got another $40 million in the pie. That weighted average fee is going to be, as Jim mentioned, somewhere between 2.5% and 3%, I don't know. The stuff that's still working its way through is going to be in the 5% bucket. It's -- there is some upside to that number in terms of how that does. Now, the fee will work itself through, the spread on these assets is obviously very low and it -- we are in a Fed funds sold position and a substantial one. We will use that excess funding. So we'll see the full poultry spread. To the extent that we get significantly more than the $80 million that's approved now we may access the Fed provided facility in order to fund that. But these are short duration assets, my intention is, as I sit here today is to break out specifically both the interest income and expense that results from this and give you a margin that is independent of participation in the program.
Brian Martin: Okay. And as far as just I guess the timing as you sit today, Brad, just that benefit in -- most of it, you would think is a 3Q event, if these credits are kind of a 90-day type of term is that, fair to say, I mean it's a minimal amount that's given [Indiscernible].
Brad Adams: I would say that the bulk of the benefit will be in 2Q.
Brian Martin: In 2Q. Okay.
Brad Adams: Yes.
Operator: With no other questions holding at this time, I'll turn the conference back to Mr. Eccher for any additional or closing comments.
Jim Eccher: Okay, thank you everyone for joining us this morning and we look forward to speaking you with again next quarter. Have a good day.
Operator: Ladies and gentlemen now we’ll conclude today’s call. Thank you for your participation. You may disconnect your phone lines at this time. And have a great day.